Operator: Good morning. My name is Stephanie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Mohawk Industries third quarter earnings conference call. (Operator instructions). As a reminder, ladies and gentlemen, this conference is being recorded, today, Friday, October 30. I would now like to introduce Jeff Lorberbaum, Chairman and CEO. Mr. Lorberbaum, you may begin your conference.
Jeff Lorberbaum: Thank you. Good morning and thank you for joining our third quarter 2009 conference call. With me on the call is Frank Boykin, our CFO, who will review our Safe Harbor Statement, and later the financial results. Frank?
Frank Boykin: I would like to remind everyone that our press release and statements we make on this call may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995, which are subject to various risks and uncertainties, including but not limited to those set forth in our press release and our periodic filings with the Securities and Exchange Commission. This call may include discussion of non-GAAP numbers. You can refer to our press release at the Investor Information section of our website for a reconciliation of any non-GAAP to GAAP amounts. Jeff?
Jeff Lorberbaum: Thank you. Our third quarter earnings per share of $0.50 was slightly better than we anticipated. Earnings per share was $0.64, excluding restructuring charges relating to our distribution and manufacturing footprint. Our earnings were slightly better than our guidance due to the changes we have made to manage through this difficult environment. Our gross margin of 27% was an improvement of almost 200 basis points over last year. It benefited from lower raw material and freight costs, personnel reductions, cost containment measures, and plant consolidations. Third-quarter sales were $1.4 billion, a 22% decrease from 2008 or 21% on a constant exchange rate. Our balance sheet is strong with over $300 million of cash, ample liquidity from our new $600 million bank facility, and free cash flow of over $340 million so far this year. Though the third period remained weak, sales were only slightly off in the second quarter, which may be an indication that we are seeing a bottom. Both home sales and consumer confidence have improved since the beginning of the year, which historically has been followed by a higher investment and remodeling and flooring purchases. The commercial category continues its decline, with limited new projects and delayed remodeling, as corporations maintain tight controls on spending. We anticipate commercial continuing to decline this year and bottoming out in 2010. Our European business, which is primarily residential, is being impacted by low consumer spending and compressed housing sales, similar to the US, and appears to be stabilizing. The stronger euro is making exports outside of Europe more difficult and negatively influencing pricing. Continued government stimulus and expected GDP growth should improve our residential business next year in the US and Europe, offset by a continuing decline in our commercial categories. Frank, do you want to give the financial report?
Frank Boykin: Thank you, Jeff. Good morning, everyone. If we start with the interim statement, net sales were $1.383 billion, down 22% from last year or 21% on a constant exchange rate basis. All of our segments were down due to lower volume and some decline in pricing mix as economic headwinds continued. Gross profit was $369 million or 27% of net sales, compared to 25% last year. Our favorable margin performance was driven by capacity rationalization, lower raw material cost and freight cost, and ongoing productivity in cost reduction actions, as our team continues to manage through this decline. SG&A was $301 million or 21.8% of sales compared to 18.2% last year. If we exclude the $11 million of restructuring included in the $301 million, our SG&A was down $31 million or 9% from last year. All of our businesses are continuing to reduce cost, but de-leveraging is impacted by our declining sales. Operating income as reported was $68 million or 4.9% of sales. Operating income excluding charges was $84 million or 6.1% of sales. That compares to a comparable 7.5% of sales last year. We had, in the third quarter, restructuring charges of $8 million included in the Mohawk segment and then another $8 million included in the Dal-Tile segment. These were primarily driven by distribution consolidation in commercial carpet restructuring, and in the fourth quarter, we are estimating $25 million of restructuring costs, of which $10 million will be included in cost of goods sold, and $5 million is estimated to be included in selling, general, and administrative costs. Interest expense was $33 million. We are expecting it will be slightly higher in the fourth quarter. We completed our new ABL Bank facility this quarter. Our interest includes amortization of upfront costs of approximately $1.5 million per quarter, and an increased rate on the bonds that we have from a recent downgrade from one of the rating agencies. Moody's just downgraded us to BA2, with a negative outlook. S&P currently has us at BB+ negative watch. Our interest rates are impacted by 25 basis points -- increased by 25 basis points on about $1.4 billion of our debt as required on any additional downgrades. We currently have a ceiling of 125 basis points on any future rate increases. The income tax rate was 6% as reported, due to geographical income mix. Our fourth-quarter taxes should be a small expense -- it should be a small expense for the fourth quarter. We expect our tax rate in future years to be in the low to mid 20% range. Our earnings per share as reported was $0.50; and our earnings per share excluding charges, was $0.64. If we turn to the segments, the Mohawk segment sales came in at $756 million, down 21% from last year, due to lower volumes and declining pricing mix. Commercial was showing the most significant decline. Operating income, excluding charges of $8 million, was $24 million or 3.2%, compared to 3.1% last year; and margin performance was driven by lower raw material cost and SG&A savings offset by decreased volumes. In the Dal-Tile segment, sales were $362 million, down 23% from last year or 22% on a constant exchange rate basis. Commercial business decline impacted performance the most, with Mexico slightly ahead on a constant exchange rate basis. Operating income, excluding another $8 million in charges, was $29 million or 8.1% of sales, compared to 11% last year. We were positively impacted by improvements in manufacturing performance, which was offset by lower volumes and negative mix. In the Unilin segment, sales were $282 million or down 21% from last year, and that would be 18% on a constant exchange rate basis. We had lower volumes as both the European and US businesses had similar pressures. Operating income was $35 million or 12.5% of sales compared to 12.4% a year ago. We were favorably impacted by lower raw material costs and SG&A reductions, as well as good IT revenues. Foreign-exchange negatively impacted our operating income by $2 million. In the corporate lamination segment, we had a loss of $4 million and we anticipate a loss in the fourth quarter of anywhere from $5 million to $6 million. Finally, turning to the balance sheet, our cash ended up at $306 million, which includes about $266 million in cash and investments, receivables at $832 million, represented 50 days of sales outstanding, which is up from last year, due to channel mix impacting this. But I will say that our ageing is still in good shape. In addition, included in that number, we have an income tax receivable of $108 million, which we will receive a portion of it in the fourth quarter and the remainder in the first half of 2010. Inventories were $940 million, representing turns of 3.8 times, which is in line with last year and the dollar is flat with the previous quarter. Fixed assets at $1.8 billion included capital expenditures this quarter of $19 million and depreciation and amortization of $76 million. We are estimating full-year capital expenditures at $110 million, and full-year depreciation and amortization of $300 million. Long-term debt in total was $1.855 billion, at the end of the quarter. We executed a new $600 million four-year bank facility during the quarter, with an interest rate that will be at LIBOR+ a range of 3.75% to 4.25%, and we incurred about $23 million of upfront costs, which will be amortized over four years. We currently have almost $500 million available under this facility after considering outstanding LCs. Jeff, I will turn that back over to you.
Jeff Lorberbaum: Thank you. Our business remains under pressure in a difficult environment. All businesses continue to focus on aligning resources with the demand level by using improved sales and operations planning, reducing SG&A expenses, innovating new processes using link techniques to cut costs, improving the use of working capital with enhanced systems, and reducing distribution infrastructure with more centralized inventory strategies. We have many initiatives to grow revenues with new products, customers, and channels. We continue the implementation of new information systems to enhance sales management, inventory controls, and our distribution infrastructure. In the third quarter, we reduced headcount by almost 850 and our total dissolution footprint was reduced by about 700,000 square feet. Our capital investments have been curtailed to about $110 million this year and are focused on efficiency, new product innovation, productivity, quality, and high return projects. Our Mohawk segment sales were down about 21%, in line with industry. We have made improvements in our controllable production costs and quality throughout our processes. Reductions in our SG&A continue to be made throughout the organization. Selling, distribution, and warehousing costs have been cut to reflect lower volume levels. Marketing and sampling costs have declined as the business level dropped. We are focusing on improving customer service with the enhancement of our systems and processes to provide greater information with more flexibility and speed. New product introductions are driving incremental sales, with higher margins, while simplifying our manufacturing operations. Our proprietary SmartStrand residential collection continues to gain broader customer acceptance and our service levels have improved with an increased supply of raw material. The restructuring of our distribution model, with the combining of our regional warehouses with the Dal-Tile segment will lower our infrastructure costs further. In the period, we lowered our headcount by 450 in this segment. We have announced a consolidation of our backing fabric production, which will lower our costs further and provide flexibility as required in the future. We are rationalizing some of our commercial production and improving productivity as we adapt to the decreased demand. The commercial team is focused on government healthcare and education markets, which will be stronger than the other channels. Our rug division is also introducing lower-priced products as consumers purchase more value-oriented items. Much of our efforts to reduce costs and improve processes have been offset by low industry volumes and unabsorbed overhead. Customers are purchasing more value-oriented products and selling prices on commoditized products have compressed. In our carpet materials, most of the chemical costs utilized have risen substantially, as chemical production has been reduced. This has raised our raw material cost more than we anticipated at the beginning of the third quarter and will increase our manufacturing costs in the fourth quarter and beyond. We plan to recover raw material increases from the market as soon as possible. The Dal-Tile sales were down 23% or 22% with a constant exchange rate. The decline in new housing sales in commercial construction is significantly affecting the ceramic industry. Dal-Tile is taking share from imports, which make up about half of the industry volume, with our broad product line and strong distribution. In addition, we have replaced significant amounts of product we have previously outsourced with our own manufactured tile. Our new introduction to engineered stone and terrazzo tile are growing in the market. We continue to increase product placement and home centers and specifications with large commercial customers. We reduced our Dal-Tile SG&A further in the third quarter by merging seven service centers, consolidating regional warehouses, and reducing our leased warehousing space. Manufacturing costs continue to improve with increased productivity, lower waste levels, and a higher quality. We have upgraded our production processes by improving our efficiencies and reducing costs. Inventory turns are being maintained through improvements in changeover times, smaller run sizes and a more consolidated inventory strategy. Long-time lease changes will reduce the working capital requirement to support our business growth. Our Mexican business grew on a local basis as our distribution expanded. In the Mexican market, we are broadening our product line to offer a comprehensive selection, increasing our specification of commercial products and expanding our customer base. During the third quarter, a 2% price increase has been implemented in Mexico. Unilin sales declined 21% as reported or 18% on a constant exchange rate. Our operating margins for the quarter were 12% and EBITDA margin was 26%. Demand in both our US and European markets remained challenging in the period. We were favorably impacted by raw material costs, (inaudible) expenses, royalty income, and better-than-expected sales volume. Our laminate business has been influenced by customers trading down to lower alternatives and pressure on exports from Europe as the euro has strengthened. To improve our sales, we are increasing participation in the DIY channels, growing sales of our new introductions, adding new product features, and investing in new product innovation. We continue to review options to expand our presence in Russia and have acquired a small UK distributor to support the market. We have broadened our wood distribution in both the US and Europe on our multiple brands to reach all markets. Changes in our wood product line are being completed, upgrading our product offering, and providing a comprehensive selection with improved costs. We are utilizing a new click system that makes our wood easier to install. We are investing in research and development to provide innovative products and equipment to lower our wood production costs. The board products remain under significant pricing pressure due to excess capacity in the markets and high operating costs. We have raised prices in some products and markets during the period and are broadening our customer base with specialized products and new channels. Some board plant closures have been announced in Europe, and others may occur in the future. Unilin has implemented many cost reductions to lower SG&A, reduce manufacturing costs and manage inventory levels. Marketing, organizational, and personnel changes have been made to lower costs. New lower-priced products have been introduced to provide more alternatives for the price-conscious consumer. All of our segments have reduced infrastructure to adapt to lower volume levels. Organizational changes have been made to reduce management levels and combined functions. We are leveraging our resources to improve R&D, planning, product management, and other processes. Innovation in processes have enabled us to control costs on direct labor. SG&A has been cut and working capital is being intensely managed. Our strategy continues to be adjusted as the economic environment requires. Business conditions remain weak as we move into seasonally slower quarters. The residential business appears to have stabilized and the commercial business we believe will continue to be difficult next year. Substantially lower plant utilization rates in the fourth quarter will result in higher unabsorbed overhead. Carpet material costs will reduce margins until we pass them through with higher prices. Interest costs will be higher due to this new short term credit facility and the step off of our bottom rates. Our fourth quarter guidance for earnings is $0.28 to $0.38 per share. Excluded from that guidance is an estimated restructuring charge of $25 million, primarily non-cash reductions of our manufacturing distribution infrastructure further. Our cash position remains strong with free cash flow exceeding 2002 by almost 55%, a strong balance sheet, and ample liquidity. As we look forward to the first quarter, we anticipate continued seasonal headwinds that will improve as we go through the year. Indicators such as housing and consumer confidence are pointing toward an improvement in residential flooring expenditures. This has been the longest and most severe downturn we have had to manage. We continue to make the necessary structural changes to strengthen our long-term business. Each segment executing innovative ways to positively position us in all product categories. All our efforts to strengthen the business during this downturn will significantly benefit us in the future as the industry recovers. With that, we will be glad to take questions.
Operator: (Operator instructions) Your first question comes from the line of Sam Darkatsh with Raymond James.
Sam Darkatsh -- Raymond James: Good morning, Jeff, good morning, Frank. How are you? Couple of quick questions. It looks like you are going to have about $57 million of restructuring costs this year, some of that capacity takeouts, some of that asset breakdown and it is happening throughout the course of the year. If you could give us a sense, Frank, as to what the incremental savings might look like in 2010 versus 2009 so we could get a sense of what is to come?
Frank Boykin: You know, we should see a payback on that over the course of about anywhere from a year to a year and a half payback, Sam, starting in 2010.
Sam Darkatsh -- Raymond James: But you would've already picked up some of the savings in 2009, is that correct?
Frank Boykin: Correct. It is more towards the backend, obviously, than the front end, but just answering your question in terms of payback for the next year and how to look at it.
Sam Darkatsh -- Raymond James: And would the payback be similar on the Q4 restructuring, because it seems to be more asset write-down than capacity takeout?
Frank Boykin: Yes, when we talk about payback, I am talking about earnings.
Sam Darkatsh -- Raymond James: Okay. Second question, this is to housekeeping. Can you help quantify the timing issue with some of the Unilin expenses that were pushed out? Could you help quantify that a little bit?
Frank Boykin: Let us see. Well, we have not broken it down separately, Sam. What we're trying to do when we described the third quarter and in the fourth quarter was just to go through some of the issues that impacted the third-quarter favorably and how they might impact the fourth quarter. So we are not prepared to break that out separately.
Jeff Lorberbaum: And as we go into the fourth quarter, we are expecting the yield and margins to be lower based on the impact of low volume and the price and mix changes. We have higher raw materials we are anticipating as well as energy costs as we went from the third quarter into the fourth quarter. We are expecting to spend more money in our marketing with our new product introductions as well as investments in our brands. And some of the maintenance costs, we keep trying to postpone them as long as possible, so some of the maintenance costs will be higher in the fourth quarter than they will through the rest of the year as we invest in the maintenance pieces. And then finally, on the exchange rates, we are having an impact on both the pricing and volume as we shift stuff outside the European marketplace and those things combined are going to lower the margin.
Operator: Your next question comes from the line of Megan McGrath with Barclay's Capital.
Matt Langdon -- Barclay's Capital: Hey, good morning. It is actually Matt Langdon on for Megan. I was hoping we could talk a little bit about the commercial market. Is there any way you could quantify how much weakness impacted this quarter and how do you go about forming your expectations for 2010?
Jeff Lorberbaum: Well, based on all the information we have gathered through ourselves and the marketplace, most people have the markets in commercial declining about 20% to 25% in 2009 and then there is another 10% to 15% decline in 2010, seems to be like the best overall estimate that we are getting in. We would assume those are somewhere in the ballpark.
Matt Langdon -- Barclay's Capital: Would you say that those expectations are different from where your expectations were a year ago for the commercial market?
Jeff Lorberbaum: As regards to the year, as the financing has become more difficult, there are very few projects than you started as you go through to the new construction continued to decline. On the other hand, as businesses get under pressure, they start corresponding remodeling and different pieces of it, so I mean I guess our perception is that declining more so than we would have guessed a year ago.
Matt Langdon -- Barclay's Capital: Okay. And then finally, you mentioned that your customer team is focused on government healthcare and education. I was wondering if you could quantify what percentage of your commercial business is into those subsectors and how quickly you think you could shift focus at the subsector level?
Frank Boykin: I don't have the percentage. There are many cases as it gets, so we don't see it all as it goes through the channels. But what is happening is, we are out in the marketplace justifying the products. We have changed the direction and amount of time people are spending in each of the channels, because we know that the government supported pieces healthcare will steady out better than the other categories.
Operator: Your next question comes from the line of Dan Oppenheim with Credit Suisse.
Dan Oppenheim -- Credit Suisse: Thanks very much. I was wondering if you can talk a little bit more about the challenges in terms of -- what we are seeing in terms of the pressures from raw materials to here and pricing? As you see, they are going up into the negative margin impact. Is there much more that you can do in terms of taking out costs overall, is there more plant consolidation? How is that you are looking at that, thinking forwards to 2010?
Jeff Lorberbaum: In the quarter we are in, we are going to have another $25 million worth of consolidations in various parts of both the ceramic business, the carpet business, as well as the distribution structures. So as the business contracts, we are making arrangements to lower our structures with it. The raw material costs are related to the chemical costs that support our raw materials and our carpet division. Almost all the chemical costs have gone up. The chemical costs that have risen out of proportion with oil prices as the production levels have gone down by the supply base and that the industry needs to patch them through.
Dan Oppenheim -- Credit Suisse: Got it. And in terms of the -- you were talking about hitches in residential. What is it that you are seeing in terms of the end markets there and how do you look at the -- as consumers are more price sensitive, how do you look at the margins you can achieve in the more commoditized products versus the more branded?
Jeff Lorberbaum: It appears that -- when you go through the different parts of it, you have to -- new construction business is hard to get less than at that, that would just close up the whole industry. So I mean, we are assuming that it is going to be improve and come in from a very low base, but not be significant, because we are not expecting a quick rebound. You have the existing home sales that impact the remodeling part of the business and we are expecting those to remain at reasonably healthy levels and have a positive impact. And then as you look at consumer confidence, the consumer confidence is not what we would like it to be, but it is dramatically better than it has been. So given these things, we are hoping that we stay in the bottom and that next year will show improvement.
Operator: Your next question comes from the line of Michael Rehaut with J.P. Morgan.
Michael Rehaut -- J.P. Morgan: Yes, hi, thanks, good morning. First question, I was wondering if -- kind of following up on the raw materials for 4Q in the carpets segment in particular, what type of a dollar impact are we talking about there?
Frank Boykin: The most likely range of increases -- we talked about, the industry talks about and we announced increases in the earlier point that we have postponed executing. We are in the 5% to 7% range. So I assume that as we go forwards, we will see an increase somewhere in that range to the carpet industry and our pricing.
Michael Rehaut -- J.P. Morgan: What would that translate back into the actual raw material hits that you are expecting to absorb in the quarter itself?
Jeff Lorberbaum: The expectation is that when we put our increase in is that we try to cover the raw material cost increase. One thing to remember too is that you never get everything you ask for.
Operator: Your next question comes from the line of David Goldberg with UBS.
Susan -- UBS: Good morning, it is actually Susan [ph] for David. I was wondering if you could talk a little bit about expanding the laminate business into the DIY channel? Give us some details around that fee and discuss the overall sort of impacts to your pricing power and profitability.
Frank Boykin: Historically, most of our bails have been to the specialty trade and again, we have focused on the mid to high end of the marketplace with limited in the commodity ends. As we have gone through this recession in both Europe and here, what has happened is that DIY channel appears to be doing better than the overall marketplace and so we have started going after and have had some opportunities with various DIY companies in both the US and Europe and we are continuing to go down that path. We think that we bring to the market place sophisticated style and design that differentiates us for the market and that we think that we can participate in all of them successfully.
Susan -- UBS: Are you seeing any significant trade down, are your customers moving from your higher-price down to your lower and how do you think that in the long term, as things normalize and come back, that will play into the ultimate profitability of that segment?
Jeff Lorberbaum: In every product category that our business and most that I am aware of in the world and the country, the customers are going for lower cost options and trading down to cheaper products and in most cases, lower margin products. How this changes over time is anybody's guess. We believe that as we come out of the recession, that people who desire to have better quality products and it will come out of the compression it is in today.
Susan -- UBS: Okay, so no change in terms of your longer-term on Unilin profitability there.
Jeff Lorberbaum: Of Unilin?
Susan -- UBS: Yes.
Jeff Lorberbaum: I think as we increase our participation in the DIY, that they tend to buy lower quality products, and so it will have some impact that that becomes a larger portion of the goods.
Operator: Your next question comes from the line of David MacGregor with Longbow Research.
David MacGregor -- Longbow Research: Good morning. Just a couple of questions. Just to build on the last caller's question, you talk about taking your style and your design down market. Are you a little concerned about compromising your brands in the recovery phase of the cycle?
Jeff Lorberbaum: You have to be very delicate about how you do it and where you go. We have different brands to go under different market places. So we have strategies of how to use those and to keep them differentiated in the marketplace, not to destroy one market when you create another. And that is through both product design, it is through brand, using different brands which we have a lot of brands we can use. It is between segmenting the marketplaces, both geographically as well as channels within it, and also using different products from channel to channel.
David MacGregor -- Longbow Research: Okay, thanks. Second question was just -- historically, the fourth quarter has been one of your better quarters. I was just wondering if we should infer from your guidance that most of the low hanging fruits have been picked on the cost cutting opportunity and will you still have some consolidation distribution, some of the things that you are talking about that the cost cutting opportunities kind of decelerate from here and what you really need is just a volume recovery before you can get any material improvement in your earnings power.
Jeff Lorberbaum: We are still cutting costs. In the third quarter, we said we have reduced by 850 people in the total organization. We have the $25 million of costs we are going to take -- right off them and take in the fourth quarter. We are continuing to re-evaluate all the pieces on an ongoing basis. So we are trying to manage through it as best we can. In the fourth quarter, we discussed before that Unilin is going to have some higher costs both in marketing and new products as well as maintenance that don't continue at the same levels, but they will happen in the fourth quarter. And then we have the raw material increases that we are having to absorb in the carpet category until we can pass them through.
Frank Boykin: And David, just to add on that, you are right. I mean, the easier restructuring items have been done and what we are doing now are the more difficult and complex and obviously, volumes are going to help a lot once we get that back. The fourth quarter and first quarter seasonally are always the slowest. So that is impacting our margins.
Operator: Your next question comes from the line of Eric Bosshard with Cleveland Research.
Mark -- Cleveland Research: Good morning, this is Mark [ph] stepping in for Eric. In terms of your ability to get through a price increase, do you have any sense of the timing on the carpet side and then how quickly do you typically recover the cost pressure when you do put through a price increase? What is kind of the timeline of that?
Jeff Lorberbaum: The timing, as soon as we think we could execute it we shoot through the marketplace. And sooner is better. What was the second part of the question?
Frank Boykin: How long does it take to implement that?
Jeff Lorberbaum: It takes more than a quarter with different channels that have different time requirement basics with it, but some are between four and five or six months, depends on which channel and where it is.
Mark -- Cleveland Research: Okay. Secondly, in terms of inventory, continued to slow production and bring inventory levels down. Are you seeing from your customers in the non made-to-order businesses, are they showing any willingness to carry a little bit more inventory? And how are you thinking about inventory levels if demand were to show some sort of an uptick in the coming quarters? Do you expect any sort of restocking at that time?
Jeff Lorberbaum: I believe inventory levels they are low through most of the channel. Most people have cash flow opportunities of their own. And so most of them are being very cautious about the inventory levels. So that is a good thing. When business picks up, the question how fast will they put inventory in the channel or keep it. I think that we have enough capacity, availability to move up with it. As far as we can see our own estimates of how it might rise up over the next few years.
Mark -- Cleveland Research: Thank you.
Operator: Your next question comes from the line of Dennis McGill with Zelman & Associates.
Dennis McGill -- Zelman & Associates: Hello, guys. Thanks for taking my question.
Frank Boykin: Good morning.
Dennis McGill -- Zelman & Associates: Good morning. The one thing I was hoping may be you could elaborate on a little bit is on the pricing that you guys attempted to push through, but delayed for the time being. Can you may be just go through from a customer standpoint, what is different this time versus in prior attempts to raise pricing? I know the industry has had a lot of success in the past and with residential stabilizing. I would think that you would have similar success now. So what’s the push back to the price increase that caused you the delay?
Jeff Lorberbaum: The price increase was announced by my competitor. And the industry followed with announcements of it. Before we could put out our specific product and price increases, my competitor postponed the increase. We assume the reasons are because they felt that would disrupt the selling season and the environment with that.
Dennis McGill -- Zelman & Associates: Is this a weaker demand environment today then may be fourth quarter of last year?
Jeff Lorberbaum: You have to ask the competition why they did what they did.
Dennis McGill -- Zelman & Associates: Okay, fair enough. And then on the raw material side, can you maybe go into some of the specific areas where you are seeing a pressure and maybe just give us an order of magnitude of how much they are upfront, say second quarter and then also due to our impact on raw materials and may be you are feeling pressure on in the Dal-Tile and Unilin segment?
Jeff Lorberbaum: The carpet side, the nylon, polypropylene, the backing, the latexes, all the things that have various chemicals in them, those chemicals have risen significantly and are being impacting the costs of our raw materials that we utilize in almost all of the various product categories we have. On the Unilin side the oil-based chemicals and then some of the wood prices are anticipated to be going up this quarter from where they were impacting those costs.
Frank Boykin: The Dal-Tile doesn't really have any impact.
Jeff Lorberbaum:
Operator: Your next question comes from the line of Laura Champine with Cowen.
Laura Champine -- Cowen: Frank, this is just housekeeping, but the $5 million to $6 million you said we should expect in Q4 on the corporate line, I am assuming that is operating income, and then that caught my eye because I think that is usually a down line sequentially, so I am wondering if you have got some restructuring going on in Corporate that's inflating that line or what's in there?
Frank Boykin: It’s about inline or is about $4 million this quarter loss and we are expecting $5 million to $6 million next quarter. So, it's kind of inline with -- and lot of that just due to timing when we make certain payments.
Laura Champine -- Cowen:
Operator:
Stephen East -- Pali Capital: Good morning, guys. Just sort of staying on the raw material again, because it seems like topic of the day. Frank, if you look at third quarter versus second quarter, could you put some impact on your gross margins, what it hit you by and given that you are trying to put through a 5% to 7% for the fourth quarter, that obviously takes time. What do you think that similar impact between third and fourth quarter will be?
Frank Boykin: I think the way we have been talking about it, Stephen is, sequentially in the third quarter, we saw an increase and then another increase in the fourth quarter and that is where when we try to put in that 5% to 8% price increase intention was to cover the cost increase that we had in the fourth quarter.
Stephen East -- Pali Capital: Quantitatively, I guess if I look at the third quarter, what would be like the basis point impact do you think you had versus second quarter, and may be what do you think for the fourth quarter?
Frank Boykin: I don't think we're prepared to get that information out.
Stephen East -- Pali Capital: Okay. Then if you look at Unilin, even though you had pretty much similar volumes in third quarter versus second quarter, the margin was down nearly 300 bips, I know lot of that had to be due to shutdown. But what else was being -- were the primary drivers? Was this just the board situation?
Frank Boykin: We had said in the second quarter, when we were guiding for the third quarter that we expected Unilin margins to go down. They just didn’t go down quite as much as we thought, but they did have pressures in pricing and pressures in raw materials, but not as much as we are expecting in the next quarter.
Operator:
Keith Hughes -- SunTrust Robinson Humphrey: Thank you. On the raw material, is it both your residential carpet as well as your commercial carpet being affected by this?
Jeff Lorberbaum:
Keith Hughes -- SunTrust Robinson Humphrey: Okay. So even the commercial nylons are going up?
Jeff Lorberbaum: Yes.
Keith Hughes -- SunTrust Robinson Humphrey:
Jeff Lorberbaum: I mean it would be like Eastern Europe, Russia, and UK as we export product to those market places. In some cases, we have had to absorb part of the difference in order to do that, as well as in the various market places there is their own competitive pressures from the poor conditions. So those things are impacting the margins that we sell into those markets at.
Operator: Your next question comes from the line of Garland Buchanan with Babson Capital.
Garland Buchanan -- Babson Capital: Thank you. I was wondering if you can give any color around the geographic performance for residential carpet. Did you see it particularly worse in any area or was there any area that might have surprised you in out-performance?
Jeff Lorberbaum: Tell you the truth, I don’t have detail of that level here. If you like to call Frank afterwards, we will be glad to get it for you.
Garland Buchanan -- Babson Capital: Okay. And just generally speaking, what were your capacity utilization rates?
Jeff Lorberbaum: The capacity utilization rates are all over. We have multiple steps in the businesses, I would guess in the low end, they are probably in the 65% to 70% range and in high end they are probably in the 85% range depending upon different parts of the business in the third quarter.
Operator:
Carl Reichardt -- Wells Fargo Security: Good morning, guys.
Jeff Lorberbaum: Hi, Carl.
Carl Reichardt -- Wells Fargo Security: I was curious about the local retail customers, I think I have asked this question before. Are you seeing much change in the number of them, any consolidation fallout or brand switch occurring anymore than you have seen in past cycles?
Jeff Lorberbaum: In past cycles -- as a matter of fact, every past cycle I have ever been, we predicted that the independent retailer was almost disappeared, I mean that is an extreme, but the independent retailer would fall out and not come back and what historically happened is that due to the limited amount of capital that the number of retailers shrinks, because you don’t need as many outlets to get the product to market place. And then at least up till now we start creating new outlets as we come out of this, because of the low capital required. If this was going to be the same we will have to see again. But I'm not about to predict that its going to change dramatically, given my last 40 years.
Carl Reichardt -- Wells Fargo Security: Okay, thanks. And then on the bigger picture question outside the cycle, I'm curious about your capital management strategy once you come out of the downturn, what the industry does. Are you expecting that you'd continue to try to, I mean, you have got a broad product line now, would you look to try to add additional product lines, additional geographies, or could we expect more of the cash you are generating to go reduced leverage, perhaps pay a dividend or perhaps increase share repurchases or what could we think about capital management once we come out of this, Jeff?
Jeff Lorberbaum: Our primary objective is to find ways to grow the top line and enhance the shareholder's value. If we don’t find the right acquisitions or risk levels, and we think we'll do that, then we'll move on to reduce the debt and trying to drive cash through the business and give it back to the shareholders. So it really depends on the opportunities that are available when that occurs.
Frank Boykin:
Operator:
Sam Darkatsh -- Raymond James: Hi, Jeff. This is an impossible to answer, but I just wanted to throw it out there anyway.
Jeff Lorberbaum: Maybe you can answer it when you ask it.
Sam Darkatsh -- Raymond James: You have a crystal ball that I'm curious as to what we are telling you, you are safe thinking at least that commercial next year and that your builder business, at least the industry builder business is probably going to be flat to down also, given the delay and when you ship versus the start. And I am guessing maybe half your business is going to be pressured next year. Do you see signs and what you’re looking at in the retail business that would give indication that the other half of your business would be up more sudden there, where your sales might be up on a year-on-year basis next year?
Jeff Lorberbaum: You’re right. We don’t have any indicators different than the world has. Our assumption is that the marketplace is at the bottom and the replacement side of it, that consumer confidence is improving somewhat, that the government pushing monies through the structure is going to have an impact, and that people's confidence will improve and that we have -- still a lot of existing homes that have been sold, they have not been remodeled like we would have expected in normal times. So we believe there is a postpone purchases of both homes you are living in, as well as people that have purchased homes in the last couple of years that haven't been remodeled. Those things tend to portray an upside in there and we’re hoping to see that.
Sam Darkatsh -- Raymond James: Okay. Thank you.
Operator: Your next question is a follow-up from Michael Rehaut with J.P. Morgan.
Michael Rehaut -- J.P. Morgan: Thanks. Two quick questions here. First, on the cost cutting actions, and Frank you had mentioned the payback 1 to 1.5 years. Just to make sure I am thinking about it in terms of dollar terms in the right ballpark, given what you’ve taken, what you’ve expect to take in 4Q is a $30 million, $35 million incremental of benefits in 2010 in the ballpark?
Frank Boykin: Yes, that’s in the ballpark, Mike.
Michael Rehaut -- J.P. Morgan: Okay. Second question, your comment earlier on the laminate business for Unilin in the U.S., talking about shifting toward even more value type products away from laminates. Given that laminates, I guess typically thought of as a value alternative to wood or even in some cases ceramic. Where are the customers going away from laminates? Are they going to vinyl or to some other wood substitutes or maybe you can give some color there?
Jeff Lorberbaum: I am not sure laminates is any different than all the categories. In all the categories, the customers are shifting down to lower-priced products. And all the shift is in way different from categories. So that is lower costs options within the category. On the other side, if you look at the last 12 months, we have seen as an industry amount carpet and vinyl have done better as a share portion versus the other categories. Now the problem is it is a little misleading, because if you look at the hard surface categories, they tend to have a higher percentage in new construction, so as you look at it, the newer construction being off is impacting those even more. So I don’t see a significant shift different than the other categories.
Operator: Your next question comes from the line of Arnold Brief with Goldsmith & Harris.
Arnold Brief -- Goldsmith & Harris: Based on your presentation today, I am sort of concluding that your volume is off in line with the industry. And I would think that given the severity and the duration of the decline that a company of your financial strength at this point should be increasing market share. Could you discuss those market share trends and give me some perspective on what the smaller competition is doing? Are they folding up? Are they going out of business? So, what’s going on in the industry?
Jeff Lorberbaum: You crossed a lot of thesis, I think that if I had to give you a high level view that I think in my carpet business, that we are holding our share, I think in our ceramic business, we are gaining shares, and I think in the laminates business, we are gaining share, but as the category on laminates we are in is not growing as much as the DIY portion or the lower end part of it. So, that’s where we are the moment.
Arnold Brief -- Goldsmith & Harris: And do you see smaller competitors going out of business at all?
Jeff Lorberbaum: There are some, when you go through these things, the competition doesn’t die rapidly, and banks tend to try to keep people going so they can find another alternative versus losing them, that’s not in them. So, it’s a long drawn out process for people to fall out of the industry. There have been smaller ones, but they don’t amount to a lot to change significantly the landscape.
Operator: Your next question is a follow-up from Stephen East.
Stephen East -- Pali Capital: If we look at the demand, just two questions on that, if we looked at, first, what you saw in the progression of demand as you went through the quarter, and then, if we look at commercial on your sub-segments you talked about overall down about 25%, how much worse was office, and how much better were some of the target areas you are going after, government, healthcare, education?
Jeff Lorberbaum: Saying the truth, I don’t have the data in front of me, but if you would like, we will get it for you and call Frank and he will give you some view of it.
Stephen East -- Pali Capital: Okay, anecdotally just, are those three significantly outperforming the industry averages overall on commercial?
Jeff Lorberbaum: Taking extreme like the hotel categories we look at, nobody is building a new hotel, nobody has got any excess money, they are not going to remodel it much. So, they have contracted all their expenditures significantly. The same thing on the corporate side if you see, is that businesses under stress try to minimize their expenditures in areas that they don’t think will impact them significantly, and remodeling becomes one of the first things you throw out of the window.
Stephen East -- Pali Capital: And then if you look at your demand trends --?
Jeff Lorberbaum: The good news is though, the remodeling gets thrown out, is still required, and when on the other side, people’s confidence improves. They are ready and needed and at that point the rooms or areas look so bad they have to do it.
Stephen East -- Pali Capital: I am with you there. Okay, and then the trend of the demand?
Jeff Lorberbaum: Our belief is that the demand is going to continue to be under pressure, that you have the new construction that takes multiple years to flow through. It continues to tail out. There is less than less to be finished. Our products tend to go into the tail end of them, so the new construction fees, there is very little (inaudible). So that kind of create this void in the process, and it is going to have to be taken out. So the commercial thing, lag coming in, and it has a got a lag coming out as it always does.
Stephen East -- Pali Capital: Okay. Thanks.
Operator: At this time there are no further questions. I would now like to turn the conference back over to Jeff Lorberbaum.
Jeff Lorberbaum: We thank you for your interest in Mohawk and appreciate your time. Have a good day.
Operator: Thank you. This concludes today’s conference call. You may now disconnect.